Ikuko Hongou: Thank you for waiting. We'd like to start meeting on KDDI's Financial Results for the Fiscal Year Ended March 2021. We appreciate your participation out of your busy schedule via Internet. I'm Hongou with IR Department and serve as MC today. To prevent COVID transmission spread, we are holding this meeting live on the Internet with simultaneous interpretation in Japanese and English. Please be advised that this session will be later made available for on-demand viewing from our IR website. Let me introduce today's participants. President, Takahashi; Executive Vice President Executive Director of Corporate Sector, Muramoto; Executive Vice President Executive Director of Personal Business and Global Consumer Business sector, Shoji; Senior Managing Executive Officer Executive Director of Solution Business Sector, Mori; Managing Executive Officer Executive Director Technology sector, Yoshimura; Executive Officer General Manager Corporate Management Division, Saishoji. Today, three materials for the business results, presentation funds in detailed information, and three items for TSE disclosure, total six documents have been posted on our IR website. Regarding the content of the materials performance and target numbers such as subscribers might be mentioned in the Q&A session, please check the disclaimer in each material. Regarding today's proceedings first President Takashi will brief you on the business results followed by the questions-and-answer session. Mr. Takahashi, the floor is yours. 
Makoto Takahashi: Thank you very much for taking time out of your busy schedules to view KDDI's earnings briefing. I would like to present the financial results of the year ended March 2021. Today, I will explain the following five points on the slides. First, on the consolidated financial results for the year ended March 2021. Amidst rapidly changing environment, growth fields drove both our operating revenue and operating income. Next to take a look at the consolidated operating income. I will explain the factors behind an year-on-year increase of plus JPY12.2 billion of operating income. Starting from the left au communications ARPA revenue fell by JPY40.9 billion. In contrast, the growth fields such as the life design domain excluding the energy business and the Business Services segment contributed greatly with an year-on-year increase of JPY58.2 billion. Energy business saw a decline of JPY20.5 billion year-on-year, but this is going to be transcend because we will be taking steps to add power sources moving forward. Next on our growth strategy. Starting from the bottom of the diagram, building on the basis of our existing telecommunications business, we will leverage our multi-brand strategy to actively promote the use of 5G, while reducing cost to aim at achieving stable growth. Above that are the growth fields to be further expanded. In the life design domain on the left, au Economic Zone will be advanced through customer contact and broad point circulation. In the Business Services segment on the right, we will look to expand our business domains focusing on telecommunications and IoT. This is about the growth strategy for the life design doing. Based on the telecommunications business we will strengthen customer contacts described at the center of the diagram. au PAY which is a payment service using a smartphone at real physical stores, we have a membership of 32 million. For au Smart Pass, our online service the number -- members exceeded 15 million doing very well. Regarding point circulation, we will continue to increase the number of places where our points can be used and make them more attractive as well. Through strengthened customer contact and point circulation au Economic Zone centering around finance, energy and commerce will be expanded and maximized. KPIs in the core service offerings of the Life Design Domain are all successfully growing, as you can see. Next, this slide shows the financial results of the Life Design Domain. We will strive to achieve a double-digit growth for both the operating revenue and operating income. This regards the profit growth driver in the Life Design Domain. KDDI's financial business, contributed a profit of ¥19 billion to the group overall, for the year ended March 2021. Its contribution to the bottom-line is becoming common now with an increase of ¥20 billion, year-on-year. We are projecting a further growth of ¥52 billion in income from this business, by the end of March 2022. On the financial business which is our growth driver, as is on the right, growth in the transaction volume of settlements and loans pushed up the operating income significantly to ¥49.8 billion on KDDI's group-wide basis, at the end of March 2021, up 1.6 times the level of a year before. In view of the next medium-term management plan, we will aim to grow, financial business even further. At this moment, we are proactively promoting au PAY to be used, not just by au's customers, but also by those who are not au customers. That is because we would like to strengthen collaboration and interoperability, between the bank and the credit card business, through the promotion of the use of au PAY so that we can expand the business further. By leveraging the synergies with our telecommunications services, we are increasing the number of core service users for the financial business already today with preferential rates and privileges offered for Jibun Bank -- au Jibun Bank housing loan and au PAY Gold Card users. Going forward, we will seek to further advance the interoperability and collaboration of our financial services provided by the bank and the credit cards and promote online financial services, in securities and finance as well. Next is on financial results of the Business Services segment, we will aim at having a double-digit growth in our operating income. Next is on the growth strategy for the Business Services segment. We have positioned our fixed line mobile and 5G services, as our core business and centering around our strength in telecommunications over 21 million IoT connections. We will expand our business domain both, in and outside of Japan into the next core which is comprised of corporate DX, business DX, and business infrastructure service. Our NEXT Core Business is a set of value-added solutions, all three of which utilizes existing telecom services. They support the overall business of the customer. NEXT Core Business in the year ending March 2022 will aim to account for more than 30% of the total operating revenue. Promotion of NEXT Core Business can bring about expansion in synergies with our core business, such as increased IDs and engagements. And through this, we will strive to grow the, entire Business Services segment. Corporate DX will focus mainly on Tele work and zero-trust. We will be supporting the development of the environment and evolution into smart work. The key areas for business DX are, IoT and cloud. As the growth of IoT accelerates, KDDI Group as a whole will be bringing its capabilities to bear to support creating customers' business opportunities. The main offerings of the business infrastructure services are data centers and call centers. We will pursue growth together with our customers globally and here in Japan. Next concerns Personal Services segment. This shows area -- 5G area construction. Left-hand side we focus on, customers' lives and activity places, in the area development. In addition to the new frequencies 3.7, 4.0, 28 gigahertz, 5G conversion of existing frequencies is also underway. In preparation for the standalone era, we are promoting 5G network in preparation for that. Next is about the number of smartphone contracts left-hand side. The right shows cumulative 5G unit sales which exceeded 2.4 million at the end of March far surpassing the target set at the beginning of the term. Next, shows the multi-brand strategy. Left au offers unlimited use without anxiety centering on UQ mobile with simple and secure price and approval where customers can freely choose toppings. We aim to achieve a higher increase in new subscriptions. Multiple brands' communications ARPU tends to decline. But as the X-axis shows in the medium term we aim to achieve data utilization increase by 5G services expansion. In the Y-axis by adding more services in life design domain that is au Economic Zone we aim enhance engagement and grow total ARPU further. Next concerns enhancing corporate value and SDGs. At the top shows financials. In addition to promoting the medium-term management plan, we intend to improve profitability and efficiency. The bottom shows non-financials based on KDDI sustainable actions announced May last year relates to various societal issues seeking solutions through our business. Our company did an empirical analysis with data on a relation between non-financial initiatives and the corporate value. Various undertakings such as disaster countermeasures global environmental conservation and promotion of the advancement of women are positively correlated with the corporate value and we will accelerate these efforts further. From both financial and nonfinancial aspects, we are promoting efforts to enhance the corporate value. Next is on global environmental conservation. We're promoting initiatives aimed at decarbonization across the KDDI Group. To reduce our CO2 emissions, we'll explore all possibilities including technological development and pursue the reduction and we are promoting the creation of new energy businesses. On April 26, we expressed our agreement with recommendations by the TCFD task force and climate-related financial disclosures. The right shows the results of data analysis our relation between ESG and the corporate value by KDDI. By cutting greenhouse gas emissions intensity 10%, PBR will improve 2.4% after 6 years thus showing the positive correlation. We are promoting further efforts and active information disclosure. Next is on transforming into a company that puts human resources first. The right shows installing zero-trust securer PCs for all the employees along the internal DX, while visualizing work-style data for further productivity increase. By practicing these ourselves and promoting them as a business we intend to contribute to the society. Next on financial forecast for FY '22 March period. This is the brief of financial forecast for FY '22 March term. Environmental changes such as reduction of communication charges, intensifying competitive environments and major changes in lifestyle by COVID are regarded as business opportunities and we aim for sustainable growth. Specifically further expansion of growth fields, promoting cost reduction and strengthening shareholder returns by creating cash flow. This shows consolidated financial forecast for FY '22 March period. For FY '22 March, our consolidated operating revenue forecast is JPY 5350 billion and operating income forecast is JPY 1050 billion. We believe that double-digit growth can be achieved both in life design domain and Business services segment for operating income. Next on promoting cost reduction. The left shows improving marketing efficiency. Here, we aim to improve efficiency with the UQ mobile integration and reduce marketing cost. The center, concerns making networks more efficient and optimal. We are promoting a structural reform, including internalization, following a construction process review. The right shows enhancing cost efficiency by promoting work-style reforms into corporate aspect. Leveraging all our strength we aim to achieve sustainable growth. Next, on dividend per share, DPS. We had such importance to the DPS growth with sustainable growth. We're aiming for 20th consecutive DPS with ¥125 dividend for FY 2022, March period. Lastly, today's summary, regarding performance, growth, fields drove higher operating revenue and operating income in FY 2021, March period, amidst a rapidly changing environment. Promoting growth strategy and cost reduction to achieve sustainable growth in FY 2022, March term. Aiming to achieve double-digit growth, in the growth fields, in the final year of the medium-term management plan. On growth strategy and SDGs expanding the au Economic Zone through customer contact and broader point circulation in life design domain. Expanding our business domains to create our NEXT Core centering on telecommunications and IoT in Business Services segment. Promoting initiatives aimed at decarbonization across the KDDI group. Lastly, regarding shareholder returns, aiming for 20th consecutive DPS growth. In addition, we resolved to repurchase own shares up to ¥150 billion. Thank you so much for your kind attention.
A - Ikuko Hongou: At this moment we would like to take questions from the audience. [Operator Instructions] Ando-san from Daiwa Securities. Please first unmute and start your questions. Go ahead.
Yoshio Ando: Ando, from Daiwa speaking. Can you hear me?
Ikuko Hongou: Yes sir. We can.
Yoshio Ando: I would like to ask two questions. The first question is as follows. After the new price plan was announced, how has that affected competitiveness?
Makoto Takahashi: In March, there was March campaign, Rakuten has had a last-minute surge in demand because their free plan has expired and there were other moves seen in the market. And throughout the next year, what will be the average competitiveness of KDDI, that’s what I would like to know. So given the moves by the competition, what is your outlook? How much acceleration are you expecting to see in UQ mobile? How effective this povo going to be, if you could share a feel with us?
Makoto Takahashi: Thank you for the question. I would like to turn it over to Shoji-san.
Takashi Shoji: Shoji, speaking. Allow me to answer. As you mentioned in your question, in the fourth quarter in particular, in the earlier part carriers announced online brands. So in the first half of the fourth quarter there was little turnover on the part of customers. But in the second half of the quarter, I think, there was greater turnover or trend. So as you asked up until early April, Rakuten ran their campaign. So until that time KDDI did struggle a little bit. But after that I think we have recovered quite nicely.
Yoshio Ando: So given that what's going to happen going forward? 
Makoto Takahashi: Well, with respect to UQ, in October last year, we integrated UQ mobile and it's performing very well, thanks to everyone's effort. And povo, our online brand it's been received very well by our customers. So it is performing well as well. Customers, subscribers, they are interested in this middle range services. So for the time being, with our multi-brand strategy, we would like to offer what meets customers' needs. They can choose UQ mobile or they can choose povo. Those who want to use large volumes, au MAX, that can still be used. And so, we will notify our customers as to what's best for them. And for the group overall, through our multi-brand strategy, we would like to promote the use of our services. And the question is, how well can we do that? That's going to be crucial. Thank you.
Yoshio Ando: Thank you. So here's my second question. In growth fields, you're going to expect a great growth. I think that was the message that you have given this time. In the past 12 months, profit increased in growth fields. What were the factors behind that? What were the reasons behind that? And going forward for the next 12 months, what will be the driver behind profit growth in these growth fields? If you could share the names of the products that are expected to grow, so that I can develop better understanding please?
Makoto Takahashi: Thank you for the question. On this, with respect to growth fields, as we said in our presentation, finance, energy and commerce. These are the areas of focus: finance and energy, in particular, we would like to see growth. And so, over to Shoji-san for further answer.
Takashi Shoji: Shoji speaking. As our President spoke, finance, energy and commerce, especially with respect to financial services, since 2008 we started au Jibun Bank. We've been doing this for quite some time and it's been successful. Credit cards, securities and insurance business, all of them are growing. And on top of that, we have energy and commerce-related business. And of late, these are also increasing and growing. So for the next year, we would like to offer these products and services. So the question is, how to offer them in an accelerated manner to our customers? That's going to be important, as was presented. In terms of customer touch points, we are focusing on au PAY right now. By using au PAY, customers will be able to charge on their account at au Jibun Bank. And if they use credit cards, Ponta points will be given and they can be used for payments and settlements in different stores. So that's the kind of a favorable cycle that we would like to reinforce. So housing loan at au Jibun Bank, that also can be offered more. And with respect to energy, as was presented, this is an area that can grow even further.
Makoto Takahashi: I'll just add with respect to financial services or finance, the greatest expectation we have is in credit card business. The Gold Card is very popular. So there's a potential to grow. And as Shoji-san said, housing loan offered by au Jibun Bank is very, very successful. It's not just au users alone. Our users from other carriers are also enjoying this housing loan. And so, if you become an au customer, you're given preferential interest rate, which is good for the customer. And since before, a carrier billing that we have offered since before under COVID-19, this is performing extremely well. So these are going to be the growth drivers. With respect to Energy business, this term there was a reduction in profit by JPY 20 billion. That was because of increased prices, surging prices at JPX. We should have known better. We should have done more home work, and there were lots of lessons learned. We have learned that JPX is a highly volatile market. So, drawing upon these lessons next year, we would like to stabilize our Energy business while securing profitability. So what happened last term was transient. I'm sure we can get profit back this term. Just to supplement what was said. Thank you.
Ikuko Hongou: We are ready for the next question. [Operator Instructions] Goldman Sachs, Mr. Tanaka. Unmute yourself by tapping the button. Please state your question.
Chikai Tanaka: Goldman Sachs, Tanaka speaking. I have two questions, so one by one. First, Business results, detailed information page 6 please. Personal segment, now there has been change in this Personal segment. ARPU Personal Services segment, communications ARPU forecast about JPY 200 reduction is forecast. Could you give us some follow-up detailed information? In terms of revenues, close to JPY 70 billion reduction, I think is forecast for operating revenue. Could you give us some more detailed information on that?
Makoto Takahashi: Thank you for your question. Regarding the disclosure until the last minute, we really thought about it -- kept wondering about it. Number of group ideas and communications ARPU that has been asked for quite a long time we wanted to disclose them. And that's why we are disclosing it in this way. JPY 4,400 and JPY 4,200 that was the result from the term that ended. As you said, if you just do the multiplication, that we adjust to customers or the impact of the reduction of JPY 60 billion to JPY 70 billion approximately. Excuse me, about the breakdown by brand, we are not disclosing that, but roughly speaking JPY 200 differential. au brand to -- for instance UQ to povo, regarding the transfer from them, I think you can imagine them. So, about the breakdown please forgive us for not disclosing them.
Chikai Tanaka: Understood and thank you. Second question. In your presentation, page 16, growth fields, Business Services segment, one of the growth segments. The Business Services segment as breakdown, NEXT Core, some items have been disclosed. In this term, you forecast a growth. But what are the actual areas that enjoy growth. In terms of profitability, compared with where you have mobile, I think it's likely to be lower. But, what about the profitability? That's the second question.
Makoto Takahashi: Thank you. This time we are really focused on these areas in terms of the information. So, about the including profitability, I'd like to ask Ms. Mori to address your question.
Keiichi Mori: Thank you for your question. Core and NEXT Core, these are the categories that we are using. We emphasize both of them, so that we can grow both of them. In particular, expanding business domain in NEXT Core as you can see in page 16. Roughly speaking, there are three areas. What's all corporate DX? Digitalization of work-style.  We'd like to extend support in that area. It's been here for a while. But starting from last year with COVID-19 this has been highlighted, grasping the needs for working from home, teleworking and within office, outside of office, in-house, outside. Flexible work style is likely to be increased. We are practicing that ourselves and including how to go ahead with us to corporate customers we would like to offer such services.  Second concerns business DX. For customer for their business institutes, to their clients and customers their working on digitalization. Here IoT has been one of the four core areas. So in the periphery of the IoT, cloud service, data analysis to promote digital transformation. There are many things in the periphery and we would like to focus on those as well.  Third concerns business infrastructure services. For corporate customers do advance digitalization more than data centers, call centers will become even more important. And we have such businesses and more recently, they have been enjoying very solid growth. There we would like to grow those areas as well as you can see in this screen. You’ve mentioned profitability. First, in the Next Core, it worries actually, growing top line is one, profitability may come and maybe realized later. On the other hand, if you look at the Core business, fixed line and also in the mobile business, cost efficiency margin is – we’re try to improve them. So combining the two, we try to grow profitability. Thank you.
Chikai Tanaka: A follow-up question about the Next Core business, you explained three things. In terms of the growth rate, you are expecting the similar rate growth for all three of them?
Keiichi Mori: Top line profitability, there are both Corporate DX and Business DX. In terms of growth rate, these two are significant. And business infrastructure services, it has a robust profitability more or less steadily enjoying growth as an area. 
Chikai Tanaka: Understood. Thank you.
Ikuko Hongou: We will like to take the next question. Those of you with the questions, please tap the resend button on your Zoom App. SMBC Nikko Securities, Satoru Kikuchi. Please start your questions. Please tap the unmute button and start your questions.
Satoru Kikuchi: Satoru speaking. I have two questions, if I may. With respect to cost reduction, telecom revenue is down, meaning that cost is becoming evermore important. Ever since you started the current management – mid-term management plan, you in that having JPY 100 billion cost reduction and it seems that that’s becoming earnest this year? You talked about JPY 100 billion of cost reduction, how much of that can be achieved later. Regarding network efficiencies, CapEx has increased slightly. Last fiscal term, JPY 38 billion for new facilities and next year piece of JPY 20 billion, and so are this certain, how much of cost reduction are you aiming at? How much do you think will be realized?
Makoto Takahashi: So to answer your question, with respect to cost reduction, as was mentioned, over the medium term, we have indicated that we would like to reduce costs by JPY 100 billion. We do have a breakdown internally by increasing top line JPY 30 billion and cost reduction of JPY 70 billion. And so in total, JPY 100 billion in our medium-term management plan. And of that amount, JPY 70 billion, we would like to cut through cost reduction initiatives. So what is the breakdown of JPY 70 billion? One is marketing efficiency enhancement. Through that we will reduce cost, as was presented. Integration of UQ mobile that's included as part of the steps. And storefront DX is also promoted quite proactively. So we will leverage that. And regarding CapEx on networks, it has increased slightly but we are controlling it at around 11% of the revenue. I think it's within that band. And so network optimization efficiency enhancement using AR and cost efficiency enhancement through workstyle reforms. Altogether, JPY 70 billion, I believe, we can achieve. So just to sort this out, impact of a reduction in prices I said JPY 70 billion – or so JPY 60 billion to JPY 70 billion. And that can be offset by growth fields JPY 70 billion; and cost reduction JPY 70 billion. So that's the vision. 3G migration to 4G, we would like to work on the cost of doing that. So we will include accelerated depreciation and there's increased labor costs as well – or roaming rather. Sorry roaming cost. And so through these we would like to achieve the number that I mentioned.
Satoru Kikuchi: Well, thank you. A follow-up question. So accelerated depreciation for 3G that you mentioned, that's already included in the plan and that is why you're saying that depreciation cost is going to rise. Is that the correct understanding? And CapEx. So are you going to keep the CapEx level flat, or are you looking to decrease CapEx, you said 11%. Telecom revenue is going to go down. If that's the case perhaps you may need to control CapEx tighter. So what's going to be the future direction of CapEx going forward? 
Makoto Takahashi: Well, regarding 3G, Muramoto-san, I asked him to follow-up later. But just as you said actually, when top line declines, we will have to reduce CapEx because we would like to control it at 11% of revenue. Network-related revenue is going to go down slightly according to this year's plan. Through multi-brand strategy from au to UQ mobile and from au to povo, there will be some migrations. But with the deployment of 5G, in terms of ARPU and value-added ARPU, they are to grow. And if they grow, we will be able to sustain CapEx and that needs to be understood internally. And so having this 11% threshold vis-à-vis revenue is going to be important. And it's important to keep this. So on 3G, I would like to turn to Muramoto.
Shinichi Muramoto: Muramoto speaking, allow me to add a few comments. So this year as Takahashi said, on a company-wide basis, we are engaging in cost reduction efforts. So where cost is reduced, next year onward for the growth to happen, we're going to reinvest the cost savings into growth in next year and onward. And the largest portion of that will be the cost reduction in 3G area. So in terms of facilities or CapEx, this is about accelerated depreciation. We have posted a quite considerable amount of that. And since last year into this year, additionally, asset retirement liability is also posted. And by the end of this fiscal year, we will be posting these amounts dealing with them. And so next year onward I think there will be a reduction in these costs by ¥60 billion. And on the sales side, we are spending cost to migrate 3G users to 4G, and so we will be spending somewhere around ¥30 billion for this year. And this is an upfront investment that we need for our future growth. So by spending these costs, in other areas, we are saving costs. So where cost needs to be spent we are spending costs.
Satoru Kikuchi: Thank you. Second question, you talked about non-telecom business, it seems that you're having successful initiatives in finance and energy. And you also mentioned the third pillar of commerce. It seems that commerce is somewhat behind the other two pillars. Given the current structure, perhaps the commerce business may be having difficulty growing. So with respect to the commerce strategy, are you going to keep doing what you're doing right now, or are you thinking of having new initiatives or conducting M&A, so that you may be able to have discontinuous growth in commerce? So if you could share with us your commerce strategy.
Makoto Takahashi: So in relation to commerce, in the commerce business, we are providing a business in the form of malls. So I don't think they will be making a great contribution to our profit. Well, Shoji-san may reprimand me for saying that, but in the centers we have au PAY, we offer au PAY. And via the network people get connected and au points will be given. And through collaboration we are giving the points back to the customer, so that they can spend them. And then, on the extent know there's commerce business. So if customers can use their points in our commerce business, so we can offer them 1.5 times the benefit. And it seems to be working. So commerce leads to greater engagement on the part of our customer. And we're not running up losses in this of course. It's not greatly profitable, but it is slightly practical at least. And with respect to M&A, not that there is a major potential M&A transaction at hand, so there are however, some investment deals that we are contemplating. And once we make a decision, we would like to announce that in due time.
Satoru Kikuchi: Thank you.
Ikuko Hongou: We are waiting for the next question. [Operator Instructions] Nomura Securities, Mr. Masuno, the floor is yours. Unmute yourself by tapping the button at the icon.
Daisaku Masuno: Nomura Securities, Masuno speaking. First, March 2022 profits. Let me clarify this. Life design JPY 52 billion an increase in operating income; Business Services JPY 17 billion increase; in total JPY 69 billion increase. So, decrease is minus JPY 57 billion. Regarding the mobile JPY 60 billion or JPY 70 billion decrease in revenues, but with cost reduction you're trying to make that up. In - so other than that JPY 60 billion cost, so that's a negative contribution. With the accelerated depreciation and a reserve for the retirement liability and then JPY 60 billion and migration costs to JPY 30 billion. I think in the last fiscal year you used about that much. So in terms of the change total this is plus and minus 0. So, JPY 13 billion increase in terms of profit that's where you're landing. Financial areas there is an increase in profitability. I understanded it has already been disclosed. au Jibun Bank profit is about JPY 3 billion almost no changes. So with the actual results in the last fiscal year and then it's likely to increase in terms of this -- the most of them is coming carrier billing. So, the significant part of the increase of profitability, I think comes from this carrier billing. So, I would like to seek some clarification about the profits. 
Makoto Takahashi: Masuno san. You gave us the analysis. That's almost all true. Let me sort this out. Growth fields, LD life design and Business Services a little less than JPY 90 billion cost reduction. JPY 70 billion cost reduction, as I said before on the communications price decrease. JPY 60 billion to JPY 70 billion returned to the customers. 3G migration. As was mentioned JPY 60 billion accelerated depreciation. As Muramoto mentioned before, and regarding the JPY 30 billion compared with last year -- fiscal year -- this fiscal year, it's the last year a little higher. So that's the differential. On the roaming revenues in this term, it's likely to increase slightly. I hope you could understand the numbers in this way. About finance the breakdown in the finance. But you said, carrier billing contribution to profits that was significant. Yes, I agree with you. On the other hand with au Jibun Bank centering on loans, we can see the good growth. So, I hope that you will acknowledge the contribution from Jibun Bank as well. I hope I answered your question. 
Daisaku Masuno: Understood. Next question. My second question, the March 2021 period. JPY 840 billion. Net debt -- net debt to EBIT ratio that's 0.9. If you look at this industry leverage -- double the leverage and then if we look at the balance sheet utilization they are making some kind of shareholder returns. But with this kind of net assets and in terms of investment and returns to investors, I think there's still room for making such returns. You could of course really make an investment. On the leverage what is your thought on leverage please? 
Makoto Takahashi: In our company, yes that's the comment we often receive. As you know in this fiscal year just last year of the midterm management plan, partly because of COVID-19, in M&A. In the last fiscal year, we were not able to do a significant investment. Now this fiscal year in the new -- it's also the year to devise a new midterm management plan. To realize EBITDA growth -- EPS growth existing business needs to be grown and also creating new business is something we have to do. And investment for growth along that on M&A as well we need to keep that in our mind. About returns to shareholders share buyback repurchasing our shares and increasing the dividend was already announced and we would like to address them from both aspects. So I hope, I answered your question. 
Daisaku Masuno: Understood. Thank you.
Ikuko Hongou: Let us move on to the next questions. [Operator Instructions] Mitsubishi UFJ Morgan Stanley Securities. Tanaka-san, please start your questions. Please unmute and start your questions.
Hideaki Tanaka: Tanaka from Mitsubishi UFJ Morgan Stanley Securities. Can you hear me? 
Ikuko Hongou: Yes we can. 
Hideaki Tanaka: I have two questions. Allow me to ask one by one. My first question is about the detailed financial results on paper -- page 5. On page 5 of the material the transaction volume for settlements and loans. In the new plan for the New Year ¥9.3 trillion. Compared to the past, it's not growing all that much. Although, the absolute amount is pretty large, it's not growing all that much compared to the past. What is the background to that? And IoT connections the number in total. Well, I hope, I'm not sounding too rude it seems to be growing. Well automotive sales are coming back they are recovering globally. So given that the plan does not seem very ambitious. And so if you could please touch upon that. 
Makoto Takahashi: Well, thank you for the question. So I would like to turn Shoji-san for the first half and Mori-san will answer about IoT. 
Takashi Shoji: So transaction volume for settlements and loans. As you rightly pointed out we are sorry not that there is a clear factor. But as a person responsible, I apologize because we came up with two conservative a plan this time. And we would like to make sure it exceed ¥10 trillion in this -- the earliest possible stage. I hope you'll understand. 
Keiichi Mori: Yes. So automotive global communications platform. This fiscal year we will be growing that business solidly as we've been doing. One thing that we can say is large markets such as China, North America and Europe. This platform has penetrated these markets and they will be developing markets who will start to adopt this, and overall while we're working on this. Isn't there more growth? Well there's just one market that is declining and that's power smart meter market. There's still going to be some growth, but the volume, the growth in volume is becoming smaller and smaller. And this power meter market is huge. So if we combine all of them, the growth is going to be more or less the same as last year. Right. Thank you. And our apologies.
Hideaki Tanaka: Well allow me to ask a follow-up question. Well Smart Meter growth it's going to become duller I understand. But global automotive platform, well if cars are sold though, on a cumulative basis, I'm sure your business will grow. So I still think your plan is too conservative. And financial service, you said that you would like to reach ¥10 trillion at the earliest possible space. What's your real plan for the transaction volume?
Makoto Takahashi: Well, our apologies. I do think that both numbers both plans are rather conservative perhaps too much. So -- well these are disclosed numbers and both numbers compared to the numbers we announced in the medium-term management plan. These numbers in the medium-term management plan were achieved ahead of time and that's why we're being conservative. But in the next plan to be announced or -- try to make sure to have more aggressive numbers. 
Hideaki Tanaka: Right. Thank you. And the second question is about Myanmar. In the Times report, you said that you're not too concerned about Myanmar. But once again by -- let me ask the assets that you have allocated to Myanmar on the balance sheet, what is the amount of the assets tied to Myanmar? What is the status of profit and loss of the business in Myanmar? If you could share with us some more details please?
Makoto Takahashi: With respect to Myanmar, we are causing concerns on your part. Our apologies for that. Just to give you the outline of what's happening in Myanmar. And with respect to accounting issues, I would like to turn to Muramoto-san for an answer. As you well know the form of business that we have in Myanmar is such that for example Telenor has a business operation in Myanmar. But we are somewhat different. In the case of Telenor they have acquired their own license, have made their CapEx to run their business. But in our case, it's different. We have KSGM that we set up with Sumitomo Corporation and they're engaged in MPT business, telecom business. It's like NTT before it was privatized here in Japan. So we have this joint operation. So MPT is who's running the business. And we are a joint partner engaging joint operations in Myanmar. So we have this revenue shared scheme. Well yes we are greatly concerned about Myanmar, our employees and the employees of our associated partners they are our greatest concern. And KDDI's human rights declaration based on that we have issued a statement. But this is an IR meeting. So the impact on our management. What's our view on that? I would like to turn to Muramoto-san for that part of the answer.
Shinichi Muramoto: Well, allow me to answer. As Takashi just said, we have this subsidiary that we set up called KSGM in Myanmar, and between a case of the KSGM and MPT, we have this joint operation contract and that's how we conduct our business in Myanmar. KSGM, on our financial statements what we invest as CapEx becomes leasing assets on our balance sheet, and these leased assets are leased to MPT. So in terms of cash flow from operating activities in terms of JO, it is treated in a negative number. I think it's described on the tension report so lease assets for MPT that's around JPY110 billion or so, and so that's the large part of the assets on the balance sheet. And we are collecting credits; we are collecting debts on that over time. So because of the JOA contract, MPT has the full responsibility of repaying this according to the contract that we have, and of late collection of leased assets is proceeding smoothly. So in the case of Telenor, they had to have an impairment, but in our case the risk of the lease assets turning bad, there's that risk. But as I said, MPT or the Myanmarese government has full responsibility for repayment. That's how the contract is designed. So there's no need for an allowance. That's the structure of the business. In terms of the profit and loss, we have commitment with the other party not to disclose. So we cannot disclose this part, but in line with the outlook of the business this year we have factored in all the potential risks. Given the viewpoint of the overall Personal Services segment the business in Myanmar is very limited very small. Did we answer your questions? 
Hideaki Tanaka: Yes. Thank you.
Ikuko Hongou: Since it's the scheduled time, with this, we would like to conclude the meeting of KDDI's financial results for the fiscal year ended March 2021. Thank you very much for your kind participation.